Operator: We are ready to begin the M.D.C. Holdings, Incorporated First Quarter `09 Earnings Call. I will now turn it over to Robert Martin, Vice President of Finance and Investor Relations. Sir you may begin.
Robert Martin: Thank you. Good morning ladies and gentlemen and welcome to M.D.C. Holdings 2009 first quarter earnings conference call. On the call with me today I have Larry Mizel, Chairman and Chief Executive Officer; and Chris Anderson, Senior Vice President and Chief Financial Officer. At this time all participants are in a listen only mode. After finishing our prepared remarks, we will conduct a question-and-answer session at which time we request that participants limit themselves to one question and one follow-up question. Please note that this conference is being recorded and will be available for replay. For information on how to access the replay please visit our website at mdcholdings.com. Before turning the call over to Larry it should be noted that certain statements made during this conference call including those related to M.D.C's business; financial condition; results of operation; cash flows; strategies; and prospects; and responses to questions may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve known and unknown risks, uncertainties and other factors that may cause the company's actual results, performance or achievements to be materially different from the results, performance or achievements expressed or implied by the forward-looking statements. These and other factors that could impact the company's actual performance are set forth in the company's 2008 Form 10-K and 2009 first quarter Form 10-Q. It should also be noted that SEC Regulation G requires that certain information accompany the use of non-GAAP financial measures. Any information required by Regulation G will be posted on our website. And now I will turn the call over to Mr. Mizel for opening remarks.
Larry Mizel: Good morning and welcome. The first quarter was characterized by many familiar issues for our economy including high foreclosure rate, rising unemployment, and low consumer confidence. While affordability has improved across our markets, we have yet to see a meaningful recovery in sales activity. As the downturn continued to severely impact our operating results for the first quarter of 2009, we diligently took advantage of opportunities to strengthen our balance sheet on many levels. After reducing the total number of lots we owned in 2008 by 40%, we further reduced our lot count for the first quarter of 2009, with particular attention given to reducing our investments in finished specs and models. This effort combined with the receipt of $161 million tax refund allowed us to generate operating cash flow of nearly $240 million during the quarter. As a result our cash and investment balance increased to more than $1.6 billion exceeding our total debt by 60%. Our inventory balance is now at the lowest level in more than a decade File 7 Inventory balance is now at the lowest level in more than a decade and we have largely mitigated our exposure to performance bonds and Letters of Credit related to various land development activities with an estimated cost to complete these activities of only $20 million. In addition the total capital we have at risk for lots controlled under option contract at the end of the quarter was only $10 million. With no borrowings outstanding on our homebuilding line of credit and no senior debt maturities until 2012, we are well positioned with the option to take advantage of market opportunities as they arise. Our interest in pursuing these opportunities in this environment will be balanced by the conservative disciplines that have governed our past and our primary focus will continue to be on our core business, single family detached homebuilding. While we are eager to make investments that will help return our company to a pattern of growth and profitability, we remain cautious and patient as our country continues to face economic and regulatory uncertainty. Although we did not see significant opportunities to invest in assets outside our company during the first quarter, we did continue to make significant investments in our internal operations through our companywide initiative to reevaluate, transform, and streamline our core business practices. A key focus for this initiative currently is the evolution of our product offerings. And an effort to accelerate our sales pace, we introduced smaller more affordable homes in many of our markets during the first quarter. These homes are designed both to meet the current needs of our customers and to allow for a more efficient construction process. As we await a recovery in the home building activity, we will continue to pursue and implement improvements to our business that we believe will enhance profitability for our company in the future. I will now turn the call over to Chris Anderson for more specific financial highlights of our 2009 first quarter.
Chris Anderson: Thanks, Larry. And good morning to everyone. First of all I will mention that our 10-Q has been filed so you will have that resource available as you look at our quarterly results. But before we get to that I will give you some highlights that we think are particularly important. Turning to slide if you have been on our earnings call recently, then the slide will look familiar, for the 11th consecutive quarter, we generated positive operating cash flow almost $1.8 billion in total since the third quarter of 2006. As Larry mentioned of the approximately $240 million we generated in the first quarter about $161 million related to the receipt of the tax refund we mentioned to you on our last call. But, even without that refund our operating cash flow was still $78 million which is an improvement from $51 million we produced in the fourth quarter of 2008. Cash generated this quarter was largely on the strength of a 32% decline in our finished spec and model inventory. Moving on to lots owned, this slide shows the trend over the past year for both our land and work in process lots with sequential declines that is recorded for each category. Overall, including lots both with and without construction currently in progress were down about 35% over the past 12 months and 7% in the first quarter alone. Looking at just the land side of things, we decreased out lot count by 29% over the past year and by about 6% in the first quarter. The decline in the first quarter primarily was the result of transferring lots to our work-in-progress the start of home work in a normal course of business. Of the approximately 7,100 lots that we have remaining, about 860 are classified as held-for-sale, meaning that we've determined the best use for them is to sell it to an outside party. At the end of the quarter, these lots had book value of approximately $11 million. More than half of these lots are in California, with most of the remaining balances split between Arizona, Virginia and Illinois and Florida. As we've noted on previous calls, the vast majority of the lots that we own are finished, so there's not a lot of development money to be spent on these assets. We've also continued to focus on keeping our exposure on the surety side down. At the end of the first quarter, we had only about $150 million in bonds outstanding, which is down 14% since the end of the fourth quarter. We estimate that we only have $20 million of development work that's required to fulfill our obligations under those bonds. For work-in-process, our lots are down to 1,400 at the end of the quarter. That's a decrease of 14% during the quarter, and 55% from the same time last year. As we mentioned on the previous slide, we made significant progress reducing our finished spec count, with a 35% decrease since the beginning of the year, to about 290 homes at March, 31. That's less than two finished specs per active community, which is a very manageable supply. In addition, we reduced our model count by almost 30% during the quarter, in the interest of saving on selling costs, and through the overall reduction in our subdivision count. Over the past year, our model count is now down 57%. The lots that we have under option only decreased slightly during the quarter, but year-over-year, they are down 27% to approximately 2,300 at quarter end. For those lots, we only have $10 million at risk, and $9 million in deposits, and $1 million in due diligence costs. In the first quarter, our active subdivisions fell from 191 to 175, with the largest declines in Arizona and Colorado. Over the past year, our active subdivisions are down 33% from 260 at March 31, 2008, with two-thirds of that decrease coming from California, Arizona and Nevada. This next slide should be another familiar one for those of you who have followed our story for a while. For the fifth consecutive quarter, our cash and investment balance exceeds our total debt, now, by 60%. On top of that, we have just short of $500 million of available borrowing capacity on our homebuilding line of credit. Turning to some of our other key operating metrics. You can see that demand is still limited when you look at the decline in our sales. In the first quarter, we received 676 net home orders, which is a significant improvement of 93% over the fourth quarter, but was down 38% versus the same period last year. Every market had a year-over-year decrease in sales. Of course, the decline is partly attributable to our 33% year-over-year decline in our active subdivision count, as our net orders per average active subdivision held relatively steady, down to only 0.9 for the 2009 first quarter as compared with 1.1 in the year ago quarter. The average price of the net home orders decreased 4% year-over-year to roughly $283,000. On a positive note, our cancellation rate of 23% was down significantly from 43% in the first quarter of 2008. You could take a different look at that cancellation rate if you look at it as a percentage of beginning backlog instead of as a percentage of gross sales, then the rate is only down slightly from a year-ago. Regardless, we certainly see the trend in a positive light, that the decline in cancellations outpaced the decline in gross orders, which is an important step in stabilizing and eventually increasing our net sales price. The most common reason for cancellations we experienced during the quarter was for financing issues. The slow pace of home orders over the past year led to a 67% year-over-year decline in our backlog, which is now down to 629 homes. Our average price in that backlog is also down from $326,300 at March 31, 2008 to $311,600 at March 31, 2009. The good news is that our backlog has increased by almost 20% from the beginning of the year. That's the first time in two years we have shown a sequential increase in backlog. The next slide takes a look at our bottom line. The story is much as same as the past few quarters, both our home closings and average selling price declined year-over-year for the first quarter. However, we were able to narrow our losses on a pre-tax basis, and on after-tax basis, due to significant decline in impairments and SG&A. Total revenue for the first quarter fell 56% to $176 million, mostly due to a 49% decline in home closings. In addition, the average closing price was down 8% to about $288,000 in the first quarter. It's down $25,000 from where it was last year. All of our markets were flat or down except for Virginia, with the biggest drops coming in Arizona, Nevada and Illinois. In Virginia, the increase was a function of selling larger homes and not necessarily a price depreciation. Looking at gross margins overall for the company, we were at 15.4% in the first quarter, which is up almost 400 basis points from last year, and up 270 basis points from the fourth quarter. I will give you a little more detail on that in a moment, then to a slide later on for impairments as well but just to give you the basics here, in the first quarter of 2009 we booked a charge of about $15 million, which is down 75% from where it was a year ago. As I mentioned, we decreased our SG&A expense year-over-year by about $30 million which is a 36% drop. Financial services profits were down 60% for the quarter primarily due to an overall volume decrease. The mortgage company experienced a $2.9 million lower gain on sale on mortgage loans and insurance revenues declined by $1.6 million. These were offset by a $2.5 million reduction in G&A expenses. On the corporate side, we shifted from a $4 million loss at the corporate segment to a $24 million loss in the first quarter. A few things drove this decline. First, similar to the past two quarters, we recognized significant interest expense at the corporate level this quarter, outside of what runs through our cost of sales, because we couldn't capitalize the full amount of interest incurred related to our senior notes. The amount for the current period was $10 million, while no interest was expensed in the corporate segment during the first quarter of last year. Second, we earned $6 million less interest income during the quarter as higher cash balances did not offset much lower rates of return on our investments. And finally, corporate G&A increased by almost 5 million year-over-year for the first quarter, due to a $3 million decrease in the supervisory fees that our corporate segment charges to our other segments, and a $2 million increase in stock-based compensation resulting from a favorable adjustment booked in the first quarter of last year. Before I move on, I want to stop for a minute and talk about interest and its impact on our P&L. We have interest charges coming through in a couple of different places on our income statement. So we put a bullet here on the bottom of this slide to tie it altogether. When you add together the homebuilding piece, which runs through cost of sales to the corporate piece, which you can see on the face of our income statement, it's about $18 million of interest expense in our P&L. Then when you subtract out the interest income we have generated, which you can also see on the face of the income statement, we get to a net interest expense figure of about $14 million. Which gives you a sense for the expense associated with maintaining our capital structure in an environment where we have declining sales and where we haven't yet found the opportunity to deploy the asset that now constitutes more than two thirds of our balance sheet which is cash. We think it's important to maintain a flexible and opportunistic capital structure and we wanted to size what the cost of maintaining that structure is in our income statement. Moving on, overall our pretax loss for the quarter was $41 million down from $77 million during the same period last year. Our after-tax net loss for quarter was also $41 million as compared with $73 million in the 2008 first quarter. Consistent with recent quarters, we didn't see a significant benefit from income taxes during the quarter despite our pretax loss because we recognize a $15 million valuation allowance against our deferred tax assets. This valuation allowance basically eliminated the benefit from income taxes that you might have expected to see. As of March 31st, our total valuation allowance is nearly $310 million, which is a full reserve of our deferred tax asset. Looking a little bit closer to our home gross margin, this slide shows our trend since the first quarter of 2008. On both the pre and after interest basis, margins improved in the first quarter both year-over-year and sequentially. Interest continued to have a big impact, about 480 basis points in this quarter. However the interest impact was similar for both the first and the fourth quarters of last year, so it doesn't have a big impact on the comparative margins. Looking at things before the interest impact shown as the green bar in the slide, our gross margins are up by more than 400 basis points from the same quarter last year. There is a two-fold explanation for the improvement. First, the west segment of our home building operation benefited from a $3.4 million reduction of the warranty reserve, due to a significant reduction in warranty payments in 2008 and thus far in 2009. Second, as we have mentioned in prior quarters the improvement in margins is largely a function of the significant amount of impairments we have taken in the past. So, what you see here is the combination of all the work we have done over the past to 11 quarters to keep our inventories appropriately in mark-to-market conditions. This has the impact of giving you a very transparent view of our business adjusted almost real-time for changing market conditions. Looking at the sequential trend, compared with the fourth quarter our pre-interest gross margin increased by about 320 basis points. Again, the improvement was driven by lower basis in land because of prior impairments and the warranty adjustment. Its important to note that the impact of spec sales is particularly pronounced in the first quarter, about 75% of the closings were from specs, which typically generate a lower margin than sales. In addition as I have mentioned a couple of times already we really did a great job of taking finished specs and old models off of our balance sheet this quarter and those homes are the ones that we typically discounted the most heavily, meaning they have even more of a negative impact on margin than the spec that hasn't reached completion. Turning now to selling expenses, we have reduced these expenses by nearly 55% year-over-year. The decrease in commissions is really just a function of the decrease we've seen in home sales revenue. But the reduction in marking expenses is the result for the accounts to separate to curb our spending in this market in a couple of ways. First of all as we pointed out for the past couple of quarters, we have changed our approach to prior advertising and substantially reduced our dependence on print media in favor of internet advertising. This is not just a lower cost alternative. We believe it is really more in tune with the way our average buyer shops for a home. Secondly, we've actively worked to reduce the expenses we incur related to model homes. Over the past year, the 57% decline in our model home count has outpaced our 33% decline in active subdivisions. As we reevaluated the number of models we need in each community or a move to sell homes in multiple communities using a single set of models. We also continue to take a close look at the merchandise spend that we've put into each of our homes. Moving on to G&A expenses. G&A expenses were down 25% for the first quarter as compared with last year's first quarter. We've done this primarily through significant adjustments to our employee headcount, which is down by approximately 40% from last year. We've also consolidated or eliminated a couple of operating divisions over the past year, to better align our structure with the market. We are certainly conscious that our G&A expenses have increased in relation to our revenues. This has occurred partly because of the speed of the decline in revenues, but also because we've made a commitment to revaluate, transform and streamline our core business practices. In addition, we want to be sure to keep a core team in place to help us return to growth as conditions improve. That doesn't mean we are not done with our leg down focus on G&A, but we remain committed to the long-term needs of the Company. On our final slide here, we have an update on impairments for you. This shows a history of our impairments since the beginning, starting in the third quarter of 2006. The first quarter of 2009 is actually the lowest level of impairments we've taken during this time period. Our Nevada market accounted for nearly the entire, charge driven by a significant decline in the value of homes in that market during the first quarter Overall, we have impaired 719 lots and 46 subdivisions. All inventory impairments are related to held-for-development inventory, with $10 million of that related to our land account, and $4 million related to our work-in-process account. Consistent with our practice over the past 11 quarters, I will point out that given our relatively low level of land holdings all of our lands has been considered in our impairment analysis. There's no other category of land that's held for long-term development. Now, to emphasize the message you heard from Larry earlier, we're excited to see the opportunities this market has in store for us, but we are going to be patient and make sure we that we're making the right decisions. We'll keep in mind that our ultimate goal is to create long-term value for our shareholders. In the meantime, we have plenty of work internally to prepare us for an eventual turnaround. As always, I want to thank or M.D.C. team from across the country for the work they do everyday to put our company in such a strong position in the homebuilding industry. Finally, I would like to thank everyone on the call for their continued support and interest. Now, at this time we will open the line for any questions you may have.
Operator: (Operator Instructions) Your first question comes from Michael Rehaut. Your line is open.
Michael Rehaut - JPMorgan: First question just on the comments earlier on about still being restraining yourselves in terms of investments in land, and in any types of opportunities. I remember last quarter I think you did one or two very kind of small one-off deals if I remember right. Was there any sort of similar kind of smaller one-offs this quarter? More broadly speaking, perhaps you can talk about market-by-market, where you might see perhaps more potential for return of some level of investment, which markets maybe closer to what you would require in terms of price or other factors?
Larry Mizel: Michael, you should be aware that I think in virtually every market we are in, we are very active with our land group I think probably in every market, continuing the process of evaluation of perspective transactions. The deal flow is increasing. I think that government finally getting the rules out at least for capital, and the PPIP program started. We expect that there will be a multitude of opportunities, hopefully at the right levels that are appropriately profitable. I think in most of the markets there is probably no place that we are active in that we don't have exposure to opportunities, and we will work those really hard. As the spread comes together, we are going to be in business, and we are really very excited about it.
Michael Rehaut - JPMorgan: Just a separate question on gross margins. If I missed this I apologize. If you could break out the benefit to the gross margin, the actual dollar amount from prior impairments, I believe as you have done in the past and you also mentioned a particularly high portion of specs in the closings this quarter as a percentage of 75% I believe. If you could kind of give us what that was, perhaps last quarter and a year ago, if that is on hand?
Larry Mizel: The impairment number is in your earnings release as well, on Page 9, just a reference to everybody else. But $43 million went through our P&L and impairment and cost of goods sold for this particular quarter, $49.9 million in the prior year. And roughly the spec count was about two-thirds prior quarter and prior year.
Operator: Your next question comes from Dan Oppenheim.
Dan Oppenheim - Banc of America Securities: Thanks very much. I was wondering if you can talk about your spec strategy. You were saying that 75% of the closings during the quarter were specs, reflecting some of the end market demand there for the spec homes. At the same time you're talking about reducing it. How do you think about doing it at this point when your are short on cash, do you think about having more specs to encourage sales.
Larry Mizel: It is a combination we can call it old models and old specs, and new models coming into the market that we are currently building and new specs that will be a product of the new models. And over the next period of time it, it will become more transparent on what our strategy is. One of the advantages MDC has is we have a very integrated design center marketing approach and we are leveraging that by integrating it into the sales strategy where we believe that in the past you had a significantly higher gross profit margin on [dirt] starts and your lowest profit margin was on old specs that you're trying to clean out or old models or cancellations and that's really been -- you've seen that over the past couple of years. And as we move into new product and new models, new specs, and new specs with a very focused strategy that we will implement what you will call a [drywall] hold strategy where we will bring product to the market but we will allow the homebuyer to really out of our design centers, which is we previously commented has probably a doubled the gross profit margin of our basic homes. We will let the homebuyer come to the design center to really more customize what they want versus what has been delivered to them in the past. We believe that this will be something that we'll be able to speak about in further detail over the next few quarters as we roll this out to more completely.
Dan Oppenheim - Banc of America Securities: Thanks. And then secondly, just wanted to ask about your efforts to differentiate your strategy in terms of trying to build the homes at lower price points and smaller homes there, clearly a trend with on the industry. What are you doing to as you compete with others in terms of capturing some of the share there? And what portion of your activity do you think will come from that?
Larry Mizel: I think that we will probably stay in the ratio of first-time-first-time move up at probably 80% or maybe even higher on a perspective basis. As you know, that dollar value on first-time-first-time move up is different from Tucson to Southern California and the Mid Atlantic. So price-wise of course it will be different but our focal point will be where the sweet spot of the market is and that's where our new product is being developed and delivered at this time.
Operator: Your next question comes from Nishu Sood.
Nishu Sood - Deutsche Bank: Thanks. First question I wanted to ask was on the cash balance, as you mentioned its significant majority of our balance sheet. I think its also, almost in par with your market capitalization now. You did a great job describing the carry cost of your current capital structure. So naturally there is going to be some limit there where you decide that the carrying cost is too high. You might begin to bring in some of your debt. Also you want to maintain your balance sheet flexibility to pursue opportunities but at some stage you have past a point of cash balance that you can deploy in a reasonable period of time. So there is a limit there as well. I was wondering if you could maybe discuss how you are viewing those limits, and at what stage you will begin to work off some of that cash balance by bringing in some debt?
Larry Mizel: I think we are very comfortable with where we are, and we don't have any present intent to change what we've done, because we believe it's the right opportunity for our shareholders, and that is to be positioned to be opportunistic. With the market currently developing a slightly better tone, I think that our timing will be exactly as we expected.
Nishu Sood - Deutsche Bank: Maybe a little different topic for my second question. As Dan was mentioning, the popular strategy nowadays of reducing floor plans, and maybe even taking out some amenities and features to reduce the price point of the house. Is that mainly something you are thinking about applying just for the first time buyer, because I imagine it's something that will be much more difficult to adapt to a move-up product where the larger floor plan and the features are a significant reason why people even trade-up. So, is that the correct interpretation or am I missing something? Is there a way you can successfully apply that to move-up product as well?
Larry Mizel: We expect to apply it across everything where we will be building in the future. There will be a transition period that may take us a period of time, but you should assume that we will roll out. At probably most price points, new product that is more efficient to build, we can build it quicker and cheaper, and give the consumer a real value. The challenge is to give the home buyer something unique. By using our design center they are able to really customize their home, and by having the 2009 or the 2010 design level, the floor plans are more efficient, the livable space is better. We are increasing the amount of finished basements that are available to be fully finished, and value to the consumer, both real and perceived is the real focal point. Our theme point is personalization, and as you will see the efforts that we are making directed toward consumer confidence and the correct product for today's market, we believe will be right on the money.
Operator: Your next question comes from Joshua Pollard..
Joshua Pollard - Goldman Sachs: My question is on the balance sheet, and what you guys could likely look like after some land purchased or after being opportunistic. By my quick math, you guys could spend $700 million or $800 million and still be one of the top three capitalized homebuilders in the country. Is there a level of cash that you ultimately want to have on the balance sheet even after things are off to the races, and you are in a much better housing environment?
Larry Mizel: I think the guidelines we've always operated under is that we respect the fact that we are an investment grade company, and we are going to operate in a manner that would be consistent with those expectations. We also are an aggressive company as we were on being conservative early. We will also be active at the appropriate time, at the right levels to maximize the value for our shareholders.
Joshua Pollard - Goldman Sachs: Excellent. Two quick follow-ups. The first is you talked about potentially being active in all of the communities or in all of the states that you are currently in. Is there anywhere that you would look to expand as you guys look to grow the business? My second follow-up is on your cash flow. It has been strong but you guys now have a pretty low level of speculative inventory. Where do you think cash flow goes, excluding any large use of your cash balance for the rest of the year?
Larry Mizel: I think the active markets we are in or the markets over the next few years we expect to stay in. One of the thing that have been unusual and it seems to be transparent that the markets we are in, some of them have had the most significant price declines and values of the homes. The same markets have had the highest traffic levels, and they've had the most amount of sales, and as you look through the transition of clearing the market of excess inventory, you see that the growth in some of these markets in housing will accelerate as it has over the prior decades, Arizona, California, Colorado, Florida, Nevada, the mid-Atlantic. These are great markets and they're cyclical markets, but this is where growth was, where the traffic is, and where the future growth will be because it is where people want to live and where there will be and has been in the past job creation. And as the country goes through this hopefully close to the end of the job deterioration, maybe by the end of this year or next year that will be behind us. These are great growth markets. The cash flow projections, I think would just take it as it comes. We look forward to being active in these markets and we really look forward to the hundreds of billions of dollars of impaired assets that will be on the market over the next period of time and we expect to be active in that arena.
Operator: Your next question comes from Carl Reichardt. Your line is open.
Adam Rudiger - Wachovia Capital Markets: It is Adam Rudiger on for Carl. I want to follow up on the very first question that was asked in terms of from land. We heard from at least two of your competitors, who have talked about finding some smaller land deals, 18% to 20% gross margins, 30% IRRs. And some of those were in what seem to be similar markets that you operate in. So I was wondering what the disconnect was and if you had seen those and why you wouldn't pull the trigger. Do you have a different hurdle rates, you have different outlook on the market. Maybe you are not seeing them. So I was wondering why we have maybe heard some of them talk about it and you are not ready to do that yet?
Larry Mizel: Well. I don't know what they've spoken about. I can only comment on what we've done, and we will evaluate it on our metrics and I will let our results speak for themselves.
Adam Rudiger - Wachovia Capital Markets: Okay. And then a follow-up, when you are looking at deal, who is the most common counterparty you're talking to? Is it banks, is it government agencies, is it liquidating bank assets, land funds or just traditional developers?
Larry Mizel: I would say virtually you've spoken about, everybody that comes in the door. Each one has their own unique opportunities. The ones that probably are the least flow of opportunity are other builders because they have their own approach to it and until they impaired adequately and it's deemed surplus then it's probably not something to speak about. But everyone will see with the government providing guidance direction and the PPIP and the capital adequacy being starting to be clarified, I think it will be very good for the real estate market and especially for the history of residential housing because history shows us that housing has led the economy into the current recession. But history is equally clear that housing has also led the economy into a recovery period and as we look forward to that taking place, those land transactions will be readily available in order to take advantage of what is happening.
Operator: Your next question comes from Josh Levin. Your line is open.
Josh Levin - Cit Investments: Hi. Good afternoon, guys. Larry, you have mentioned the PPIP people come twice today. Did MDC looking to participating in PPIP as an investor? Too many Ps.
Larry Mizel: We will just try to get it, I think we are going to participate in everything that works if it works to our benefit.
Josh Levin - Cit Investments: Well, do you think the PPIP program will work to your benefit?
Larry Mizel: Well, since they haven't done the first transaction, they haven't selected whether there is going to be five people or 100 people, and the banks haven't been advised on what level they have to mark the assets to, and if it's going to be an open bid. I think a simple way of looking at it, if the government will package the assets by categories, it will be very helpful. If they don't, those persons that are going to acquire those assets ultimately will need to dispose of the residential piece because it is the most unique ones and we expect to communicate actively, directly and indirectly with whatever programs are actually implemented, and maybe when we speak next quarter on this call, all of us will know more than we know now because this information is all is very fresh in the last week.
Operator: Your next question comes from Alex Baron. Your line is open.
Alex Baron - Agency Trading Group: Yeah. Hi. Good morning, guys. Looking at the ratio of your revenues to your SG&A, and if I include all the marketing and corporate G&A et cetera, it is almost 32% of revenues. I guess, I am just wondering, in that environment, what you guys can do to cut costs substantially, because I don't expect gross margins are ever going to get back to 30% or 40% in order for you to be profitable on that scenario.
Larry Mizel: I think you are looking at a window of time where your revenues are very low, and the initiatives that we are doing are very high, plus the interest costs without the benefit of the investment revenue is at extremes. We have all seen the ability to increase your rates of return on your liquidity as you watch the tenure roll out 25 basis points, 30 basis points over the last couple of weeks. I think that we are moving into a period of maybe more normal interest rates, and the liquidity will deal with its own adjustments. The G&A deals with the foundation and the activities we're doing besides, of course, the regular operating G&A for the future. We are focused on what we are going do in the future because we believe we have dealt with our balance sheet. We have dealt with our inventories, and we're balanced where we want to be. That doesn't mean there's not more G&A to take out, but we're getting close.
Alex Baron - Agency Trading Group: Yes. As you say, I tend to agree with you. I think it is going be challenging for a while. Your balance sheet is great. It looks like you guys are ready for new land opportunities, but in the meantime, if interest rates go up, especially if the California tax credit goes away here in the next couple of months, it would seem revenues are going to continue to be low. So, I'm just kind of wondering, how many years you are planning at kind of hanging in there at these kind of rates before cutting further on the SG&A front?
Larry Mizel: If it turns out to be years that we need to hang in there, you could assume that we'll deal with the G&A before years pass. Okay? We are on it everyday, and we are using our judgment of exactly what and where we should expand our capital. We consider it to be of great value and we don't plan to waste it, and whatever we are doing in standing by, I can assure you its well thought out and well planned.
Operator: Your next question comes from Ivy Zelman. Your line is open.
Ivy Zelman - Zelman & Associates: Larry, your comments are always very insightful. Just a follow on Alex's question but from a different angle. You have significant opportunity of leverage on the upside when you get the volume, and I guess what we would love to have an understanding of is, does that mean, if you can breakeven, do you need 50% more volume to come through the system at the current level of dollars spend on SG&A, because think if it was a manufacturing plant that needs to get its utilization rate up. So, maybe some thoughts on relative to where you would have to be in volume to get a breakeven?
Larry Mizel: I would say it's probably just a little bit premature for me to comment on it. I'll let our actions speak for itself over the next couple of quarters, because anything I would give you would be complete speculation, and I can't do that. I can, but I won't.
Ivy Zelman - Zelman & Associates: Let me ask you a broader question with respect to your comments earlier. You guys are in the enviable position to be sitting on cash that many would love to have, and looking at PPIP or other government programs, I would argue that you might be a little optimistic with respect to being able to buy assets at attractive prices through the programs the government's outlining at least because the banks are not willing to sell at the prices that make sense for you to reload at, and get attractive enough margins and returns. So, unless banks are willing to wipeout their capital and actually take the hit and capitulate, which we so far have yet to see, even if the bid is somewhat higher, because they can get some leverage now off of whatever program the government's offering through PPIP or TALF or you name the acronym . The gap is too wide still. So, the iterations that need to unfold is, we first need to see the banks capitulate on their commercial real estate, and the lot of the dirt is worthless. So, where is all the optimism coming from, Larry?
Larry Mizel: The optimism is coming from the fact that there is 350,000 new homes being built, and I think that will continue to decrease for a period of time. I believe there will be a pent-up demand created through the shortage of brand new homes never occupied and I am not talking about foreclosures or anything like that. I am saying brand new home, single family, detached, never occupied, and that demand is ultimately going to increase, and as the demand increases the ability to pay a little bit more for the land becomes available because you're able to create your gross profit margin through a little different pricing model. Additionally we are not waiting for the banks to capitulate to create assets that we can acquire. There's a lot of movement out there and it is just like anything. There's a bid and there's an ask and the bid is not going to move up until there's a proper profit, and if you have got assets that you want to sale eventually, you're going to adjust your expectations when you're ready to move it. And we believe that those two influences will cross at some point and that will be the time we look forward to take advantage of it.
Operator: Your next question comes from Jay McCanless. Your line is open.
Jay McCanless - FTM Midwest: Hi, good morning. Wanted to dig deeper on the gross margin, specifically on the west, I believe even if I made the adjustment for the warranty there, it looks like the gross margin was up about 300 to 400 basis points year-over-year, and I was going see if that was from -- I know, most of it from impairments but were you seeing better results in California, were you seeing better results in Arizona, was there something operational there as well?
Larry Mizel: Jay, it is hard to say that, I mean because of the weight that the impairment carries in that gross margin. I mean that is the predominant reason.
Jay McCanless - FTM Midwest: Okay. And then just to harp on California a little more, are you call anticipating flexing up your specs there? Are you seeing any positive reaction from the state tax credit there in addition to the federal first-time credit?
Larry Mizel: I think it's working. And we'll see what California does by policy and the expectations from California are -- I think ultimately we all believe California is going to still exist as a vibrant economy and they've got their problems, but history shows they cycle through them and I think the affordability factor that housing is now able to deliver will ultimately come back into play.
Operator: Your next question comes from Eric Landry. Your line is open.
Eric Landry - Morningstar: Hi, good morning, thanks. A cup of builders who have already reported the first quarter results and had pretty strong gross margins are talking about per foot cost in the $35 to $40 range. Larry, I am interested in your opinion is that -- where people are going to have to be to be competitive here?
Larry Mizel: Talking about selling or buying?.
Chris Anderson: Okay. Talking about construction costs, right.
Eric Landry - Morningstar: Yeah. Exactly.
Larry Mizel: I was going to say if you were selling at that level we would be a buyer. First of all every market is different. What we build in Phoenix and Nevada versus Southern California or the Mid Atlantic or even Denver are all different the 35 to 45 range depending on the quality and what's included because sound bites don't give you a complete breakdown of who includes what in that number. It could end up being a good guideline, which will mean that the consumer will truly get a real value, as part of competing with the resale market and competing with impaired assets is to deliver new product that is reasonably competitive and to do that you need more efficient plans and you need lower construction costs and the both of those are in the process of taking place at this time.
Eric Landry - Morningstar: I have one more question but real quick. Do you believe that a descent percentage of the industry is there yet at that range?
Larry Mizel: No, I don't. But that's okay.
Eric Landry - Morningstar: Okay. One more question.
Larry Mizel: I am not interested in descent percentage just a few.
Eric Landry - Morningstar: All right.
Operator: Your next question will come from Joel Walker. Your line is open. Mr. Walker, your line is open. We will move here to next question and that will come from Jim Wilson. Your line is open.
Jim Wilson - JMP Securities: I was wondering ,maybe most of my questions have been answered but could you give a little color, I know you talked about your mix of first time and first time move up -- moving or maybe now are moving to 80% or so of your business. Could you give a little regional color or thoughts because obviously its some places its more or less difficult to changed product and they change focus but just mainly in your biggest markets, California, Arizona, Nevada, Colorado?
Larry Mizel: I think you should assume that we will do our best to have that guideline apply in all those markets.
Jim Wilson - JMP Securities: Okay. How much or how much could this change with new product introduction? Maybe you are going to take it toward 100% once you roll it all out?
Larry Mizel: I don't know that anything is ever going to be 100%. We will roll it out as quick as we can efficiently do it, and see where the market is at the time that everything is implemented. So, I don't want to be so optimistic to give you an impression of something that we may not be able to get to immediately. The markets will really tell us if there's an opportunity at a little higher price point, meanwhile we will focus on the sweet spots, which is the 80% category.
Operator: Your next question comes from Michael Rehaut. Your line is open.
Michael Rehaut - JPMorgan: Just kind of hitting on some comments earlier, and I don't want to necessarily overly focus on this, but just to clarify more so. With the comments related to PPIP, given that with your typical investor presentation, one of the first slides is no JVs, no off balance sheet, no attached units. I would think that kind of participating in some way in a direct investment, in a PPIP related scenario in terms of getting an interest in some of these mortgage securities would be pretty complex and pretty off center in terms of your core mission as you've stated. So, I just want to be clear if that's really what you are look at or more is it that you are in close discussions with the banks in term of trying to acquire or eventually looking at acquiring at the right price, actual land which you can kind of put through your own machine in the way that you always have.
Larry Mizel: I think that our first desire will be to do regular delivery which we've always done. What I don't want to do is foreclose the fact that there will be unique assets out there held by others that will have a need to have a builder to be part of it, to maximize their investments and our investments. One of the reasons why we stayed away from ventures in the past is we didn't want to rely on someone else coming up with their money. We rather come up with the money and know that our destiny was in our own court. Of course, we don't know what the rules are of the PPIP. I don't know having the government participate and [ferry] with part of the equity and part of the upside is going to be a formula or is it going to be complicated? Is there going to be procedures? We don't know and until the regs are out. What I don't want to do is, as we come into this next period of time, there is going to be different types of structure that are going to be in the market that we in the past have not considered, and I want to have an open mind and an open door to listen to, and look at what might be available. I think its good business and we are going to continue the philosophy of having our destiny in our own hands. That's not going to change. However, we are open to look at different structures.
Operator: Your next question comes from Alex Baron. Your line is open.
Alex Barron - Agency Trading Group: I was wondering if you can elaborate little bit on the deals you have seen that may be you've past on. What is it about those deals, do you think you can't get the sales pace that you need or are the prices are still too high and therefore you couldn't get the margins to work?
Larry Mizel: Alex, I think it would be A, B, C and D. Each one has got its own nuances. What we don't want to do is be early. What we don't want to do is end up with assets that have complications with them. When you're in this period of time, there will be enough available that we don't have to be the lead bid, and we are going to continue to do what we have always done, which is as you know, we underwrite every single asset one piece at a time, and we are going to continue to do that. I don't think there's one thing specific that I could highlight other than the fact that on a risk adjusted basis, they don't clear committee and every asset we acquire goes through a full underwriting and goes to committee and it will continue that way.
Alex Barron - Agency Trading Group: Okay. That's fair. I wanted to ask a slightly different question as far as your current lot inventory, what percent of those lots are finished and for the ones that aren't finished, like how much extra money would it take to get them to a finished state?
Chris Anderson: It is a very high percentage. It is already finished and the dollar amount I don't have a dollar amount for you, Alex, and want these to be -- what we would cost to finish those but it is 80 to 90% finished.
Larry Mizel: There's stuff that needs to be done on some. But you're dealing with substantially most of them.
Operator: Your next question comes from Eric Landry. Your line is open.
Eric Landry - Morningstar: Thank you very much. Larry, with regards to your inactivity would you say that it is more a factor that you are just not seeing enough A properties or that you are seeing plenty of A type properties, it is just that the offer is too high? Can you generalize even?.
Larry Mizel: Yes, I would say we are only interested in "A"s and we are just not quite there yet. I don't know if you -- if that's a function of 90 days or six months. I real think the government will be helpful to the entire financial system as they roll out rules and regs for the banks. And directly or indirectly the land bankers have loans at banks, builders have loan at banks, the banks now know kind of what the guidelines are. And its kind of circle and everyone has been waiting as you can see by the markets reaction over the last 24 hours, we need for the lock-jam to clear in order to start working through these assets that are in the market that need to be liquefied and so we'll just have to wait. But my sense is that it will be within a reasonable timeline.
Eric Landry - Morningstar: So if I hear you correctly you are saying that there are plenty of "A"s out there, its just that the price is not right at this time?
Larry Mizel: Well, there is never plenty of "A"s, but there are an adequate amount.
Operator: At this time, there are no further questions.
Robert Martin: Well, we would like to thank you for being on our call today. And we look forward to having you for our second quarter call. Thanks.